Nathan Coe: Good morning, everyone, and welcome to Auto Trader's results for the 6 months ending 30th of September 2025. I'm joined by our COO, Catherine; and our CFO, Jamie, who will both be presenting and joining me for Q&A. You will have seen the announcement regarding Catherine moving on to become CEO at Moonpig. We are very pleased with Catherine and wish her the best as she embarks on the next chapter of her career. Catherine has been a pleasure to work with and has had a real impact at Auto Trader. She will be missed, but she leaves behind a strong team with bench strength that is both broad and deep. So we have a little worry that we will carry on uninterrupted. Our disproportionate focus on internal development over external hiring serves us well at times like this. Catherine is still with us for some time, and we will announce her leaving day in due course once we have worked through a smooth transition plan. Now on to the results. Overall, we are pleased with the progress that we've made through the period. Our profit was marginally ahead of expectations, and we have made significant progress against our strategic priorities. As expected, we have been impacted by the fast speed of sale of vehicles, but the team has delivered well on those areas that are within our control. I'm confident that the actions we are taking today will underpin growth for many years to come. Our market position remains strong with record levels of buyers and retailers using Auto Trader. As we saw last year, there has been a further increase in the number of unique vehicles advertised on our platform and high levels of engagement with those vehicles. This underpins our core proposition for buyers as we provide full choice and transparency and clearly, retailers have benefited from more vehicles moving through a similar number of advertising slots. Our annual product and pricing event in April this year went well, underpinned by the first features under our Co-Driver AI umbrella. There is significant future potential in this area as we make more AI-powered solutions available and accessible to both retailers and car buyers. We are uniquely placed to do this due to our strong brand, deep integrations with the industry, and our real time proprietary data. The first features of Co-Driver have seen strong engagement with over 10,000 retailers already using the tools. It's important to note that AI doesn't just enable us to increase the richness of the car buying experience on Auto Trader, but it does extend the opportunity across all our retailer product areas which includes advertising, data, digital retailing and now Co-Driver. We've also dramatically accelerated the adoption of Deal Builder, growing customers, stock and deals since our change in approach earlier in the year. Deal Builder will no longer be an optional add-on product available on a selection of cars, it will be the default experience for retailers and car buyers on Auto Trader. Catherine will cover this in more detail later. With a car market that will grow over the long term, our strong market position, we're comfortable that we can continue to grow through delivering meaningful improvements to the buying and retailing of cars in the U.K. Auto Trader has never been short of growth opportunities, which remains as true today as it has ever been. I wanted to thank everyone at Auto Trader and our customers, shareholders and wider stakeholders for their continued trust and support. We'll start with some of the highlights during the period. Group revenue grew 5%, operating profit grew 6% and basic EPS grew double digit at 11%. Our largest revenue area, retailer revenue, grew at 6%. This is made up of strong forecourt numbers and a 5% increase in ARPR, mostly driven by the price and product event in April 2025. AI has been a big focus for many investors recently, given its potential to significantly alter consumers' online behaviors. I'll speak to this in more detail later. However, we are confident that on any platform, we are well placed to provide the best car buying experience for users. The transaction is high value, complex and occurs over a 3-month period, not one session. The reasons car buyers choose Auto Trader come from our singular focus on the U.K., our category-defining brand, well-invested technology and the rich tools we provide both car buyers and retailers, which are all made possible by retail -- by real-time data, pardon me, at a vehicle level that only we have access to. These unique characteristics are why our market position has been not only maintained but strengthened when new platforms have emerged such as Google, iOS and Android. Now to Deal Builder. I am very proud and pleased with the progress that we've made since we changed our approach midway through the year on Deal Builder. Adoption has dramatically accelerated as we make this journey the default experience on Auto Trader. We've added 4x as many retailers this half than we did in the previous 6 months. We know from years of development and live testing that Deal Builder deepens our engagement in car buying and selling. It delivers better conversion for retailers and a more connected and empowered journey for time-poor car buyers who want to do more online when it suits them with a brand they trust. At our full year results in May, we presented this slide for the first time to better show how market dynamics not previously seen before had impacted our financial results. We have 4 charts here, which I don't intend on going through in great detail, but it is a picture of a more stable market. The key points to note are, last year, demand or visits were strong. Supply was constrained, used car prices had come down, which all resulted in an acceleration in speed of sale. This meant more unique vehicles sold through roughly the same number of slots, which doesn't benefit our business model. This year, however, demand does remain healthy. Supply is gradually coming back and used car prices have been robust, even increasing from the levels seen last year. As a result, speed of sale has not accelerated as it did last year. So the headwinds we were facing have subsided somewhat. However, we would caution too much optimism in the near term as speed of sale was still one day quicker in October. I'll briefly cover the financial results, which Jamie will cover in more detail next. Group revenue increased by 5%, with core Auto Trader revenue also increasing by 5%. Group operating profit increased by 6%. Auto Trader operating profit increased by 5% to GBP 208 million. And Autorama halved its operating losses to GBP 1.4 million. Noncash acquisition-related costs was GBP 6.5 million. Group operating profit margin increased to 63% and Auto Trader's operating profit margin remained at 70%. Basic EPS, as mentioned earlier, grew double digit at 11% and cash generated from operations was up 7%. We returned GBP 162.2 million of cash to shareholders through GBP 100.2 million in share buybacks and GBP 62 million in dividends. Finally, we are declaring an interim dividend of 3.8p per share. Now on to our operational results. The average number of cross-platform visits was up 1% to 83.3 million per month, and we continue to account for over 75% of all time spent across our main competitor set. The average number of retailer forecourts advertising with us was up 1% to 14,080. Average revenue per retailer was up 5% to GBP 2,994, mainly due to our product and pricing event implemented on the 1st of April 2025, which was underpinned by Co-Driver. Live car stock was up 2% to GBP 457,000, with this increase being due to an offer, which ran at the beginning of the 6-month period, and we delivered 3,687 new lease vehicles. Finally, the average number of full-time equivalent employees in the group decreased slightly to 1,249. In previous years, we would have covered our cultural KPIs in half year results. However, we've decided to do this now at each full year results. The KPIs and initiatives that sit behind them remain as important as they've always been. However, covering them annually better aligns with our annual employee survey. The KPIs on gender, ethnicity and GHG emissions are all included in the press release and the appendix of this presentation. As it relates to culture, it is worth noting that we have entered a new lease and are halfway through investing significant capital in a new home campus for Auto Trader, which will provide a great environment for our people to do their very best work in a space that facilitates both how we work and the other elements of our culture. I'll now hand over to Jamie to talk us through the financials in more detail.
Jamie Warner: Thanks, Nathan, and good morning, everyone. I'll start by focusing on the core Auto Trader financials. Starting with revenue. Total Auto Trader revenue increased 5% to GBP 296.3 million. Trade revenue increased by 6%, with the largest component of this being retailer revenue, which also grew by 6%. Also within trade revenue, we've seen an increase in both Home Trader and other trade revenue. Consumer Services revenue decreased by 9%. Within this, private revenue generated from individual sellers was down year-on-year due to a lower number of listings compared to a strong prior year, and Motoring Services revenue was flat. Revenue from Manufacturer and Agency customers increased 13% year-on-year due to manufacturers supporting their franchise networks on both new and used car advertising. As mentioned, Retailer revenue increased 6% year-on-year. The average number of Retailer forecourts on our platform increased to 14,080, a 1% year-on-year increase and average revenue per retailer increased by 5% to GBP 2,994 per month, with more detail given on the following slide. Here, the chart on the left shows the components that contribute to the movement in ARPR compared to the prior year. As you can see, ARPR growth was driven by the price and product levers with a small headwind from stock. We delivered our annual pricing event for all customers on the 1st of April 2025, which included additional products and a like-for-like price increase, which contributed GBP 89 to ARPR growth. Product contributed GBP 64. Most of this growth was from our Co-Driver product, which is included in retailer advertising packages in April 2025. Prominence, which includes upsell to our higher-level packages, was not a contributor to the product lever in the first half. We continue to review our package staircase and have recently created an offer to incentivize customers on to higher levels, which has had good levels of uptake. This offer converts throughout the second half and will inform how we evolve these packages in H1 of next financial year with the aim of returning prominence to long-term growth. Turning now to stock. You'll see on the right-hand side of the chart that the number of live cars advertised on Auto Trader increased 2% year-on-year. Used car stock also increased by 2%, although much of this was driven by a stock offer, which we ran at the beginning of the financial year. Excluding this stock offer and private listings, which do not impact ARPR, the live stock increase was just under 1%. The stock lever was marginally lower due to a slight reduction in underutilized slots, which typically occurs when we run this type of offer. Total Auto Trader costs increased 3% to GBP 90.4 million. Salary costs increased by 6% to GBP 42 million due to higher average salaries and a small increase in the number of Auto Trader FTEs. Share-based payments increased by 1% to GBP 6.9 million. Marketing spend decreased by 21% to GBP 8.9 million due to the timing of campaigns, and we expect a greater level of marketing in the second half of the year. Other costs, which include data services, property-related costs and other overheads, increased 6% to GBP 22.9 million, primarily due to property costs for our new head office and other IT-related expenses. Depreciation and amortization increased by 31%, again, related to the cost of our new head office. As a reminder, we fully expense our technology, research and development costs, hence, our low levels of CapEx and depreciation. In addition to our investment in cloud-based and AI services, we have around 400 people in product and technology who are continuously improving our platforms and developing new products for consumers and retailers. Operating profit increased by 5% to GBP 208 million during the period, and operating profit margins remained consistent at 70%. Our share of profit generated by Dealer Auction, the group's joint venture, increased 17% to GBP 2.1 million. Having covered Auto Trader, the main part of the group, we'll briefly cover Autorama results. As a reminder, the Autorama acquisition is part of our strategy to bring attractive new car offers to car buyers on Auto Trader and to make new cars a more important part of our proposition. Autorama revenue was GBP 21.4 million, with vehicle and accessory sales contributing GBP 16.5 million and commission and ancillary revenue contributing GBP 4.9 million. Vehicle and accessory revenue relates to vehicles that flow through our balance sheet, which is not our focus for future growth. Total deliveries grew 16% to 3,687 units. As can be seen from the chart, this growth was driven by cars and importantly, more of that growth was driven by the Auto Trader platform, which saw a 6x increase in delivery volumes. Average commission and ancillary revenue per delivery decreased to GBP 1,329, reflecting the changing vehicle mix during the period. We delivered around 750 vehicles, which were temporarily taken on balance sheet, the cost of which was taken through cost of goods sold. This was a year-on-year increase driven by just over 300 extra vans, which were taken to support van volumes as they were slightly lower in the first half. Excluding the cost of goods sold, cost of GBP 6.2 million represented a 25% year-on-year reduction with all lines seeing a decrease. The Autorama segment made an operating loss of GBP 1.4 million, which is a significant reduction on last year as a result of the accelerated integration into the main Auto Trader business and platform. With group revenue up 5% and a reduced Autorama loss, we saw group operating profit increased 6% to GBP 200.1 million and group operating profit margins increased to 63%. As we grow, the strong cash generation of our business leaves us well placed to return surplus cash to shareholders. Cash generated from operations was at GBP 215.4 million. Now to briefly review net bank debt and capital policy. During the period, the group drew down GBP 15 million of its revolving credit facility and held cash and cash equivalents of GBP 20.2 million. Cash generated from operations was largely used to pay tax or return to shareholders through a combination of dividends and share buybacks. The group's long-term capital allocation policy remains unchanged, continuing to invest in the business, enabling it to grow, while returning around 1/3 of net income to shareholders in the form of dividends. Following these activities, any surplus cash will be used to continue our share buyback program and to steadily reduce gross indebtedness. That concludes the financials. I'll now hand over to Catherine to talk through progress against our strategic priorities.
Catherine Faiers: Thank you, Jamie, and good morning, everyone. We have made good progress against each of our 3 strategic focus areas. These areas are closely interconnected. Our platform and our digital retailing capabilities build on the strength of our marketplace and deepen our relationships with both retailers and car buyers. Our marketplace continues to grow, and we have seen a record number of car buyers and retailers using Auto Trader. This means we are also building our unique data advantages through the growth in observations and actions that we capture. Whether it is consumer behavior and interactions or retailer actions and pricing movements, we continue to extend our data lead in this area. We have successfully executed our annual pricing and product event, which included the Co-Driver product, a set of AI-enabled features designed to drive retailer performance and efficiencies in the advertising journey. This product has seen strong engagement from retailers and the features that surface on the Auto Trader app and website have been well used by buyers. We continue to scale Deal Builder, enabling consumers to do more of the car buying journey online. At the same time, we are launching the Buying Signals product for retailers, which will provide a greater level of actionable insight to drive their performance. This year, we launched Co-Driver, a suite of transformational AI tools that utilize our unparalleled vehicle data and consumer insights to significantly improve the consumer and retailer experience. Our first Co-Driver suite is available to all retailers and includes Smart Image Management, AI-generated descriptions and vehicle highlights. As of September, over 100 retailers have used Co-Drivers to create 1 million high-performing used car and van adverts to optimize over 12 million vehicle images, and we've seen over 85 million buyer interactions with the vehicles highlights on Auto Trader. Whilst Auto Trader has been working with and delivering AI products for over 10 years, Co-Driver is the first retailer product, which has leveraged generative AI. As detailed in our FY 2025 full year results at the end of May, we decided to make Deal Builder part of our core proposition to retailers and the consumer experience for car buyers. This will enable us to increase the speed of retailer onboarding, accelerate the level of buyer adoption, materially increase the number of deals being delivered through Auto Trader and strengthen the competitive moat for our core business. As can be seen on the right-hand side chart, this decision has enabled us to scale the product faster from June onwards than in previous periods. Retailer acquisition during the period was 4x greater than the preceding 6 months, resulting in 4,000 retailers live with the product at the end of September. We also saw a significant increase in the volume of listings with Deal Builder, ending September with 128,000 adverts live. This was over 160,000 live adverts at the end of October, a 25% increase in the month. Consumer engagement has also grown considerably with 52,000 deals in the period compared to 23,000 in the previous year. The feedback on the product continues to be positive from both retailers and car buyers with deals converting twice as effectively as a regular Auto Trader lead and over half of all deals being submitted outside of traditional working hours. We are also launching a new product called Buying Signals, which leverages our unique consumer data to surface both high-intent buyers and their preferences to our retailers. Across multiple inquiry types, we have used an AI-powered buyer propensity model to apply a flag for the retailer, indicating how likely the buyer is to buy the vehicle, how local the buyer is and the type of vehicles that they are interested in. This will enable retailers to prioritize the next best action with different car buyers. The goal of this product is to drive improved conversion for retailers and to close the gap between the journey on Auto Trader and the consumer experience that the retailer forecourt, complementing the Deal Builder journey. Over time, these buy propensity models will also inform our own marketing, remarketing and optimization activities for our products and experiences. I'll now hand back to Nathan to discuss the broader AI trends we are seeing and our outlook for the remainder of the year.
Nathan Coe: Thank you, Catherine. The popularity of LLMs, chat-style interfaces and agents is at the forefront of investors' minds as it relates to most businesses, and that includes marketplaces. For years now, we have used AI technology in our in-house products and platform, which informs our perspectives on this technology shift. Before we talk about Auto Trader, it is worth saying that we believe top-of-funnel research and discovery for all products, including cars, will be disrupted by these new interfaces. AI platforms reduce the need to visit multiple websites and summarize what is essentially static content very effectively. Top-of-funnel content has never been a big focus for us. And when we have experimented with it, the direct benefit to our core was unclear. For this reason, it is not a risk that concerns us as we wholly focus on the point where people want to browse and purchase real available inventory. In terms of Auto Trader then, we have 4 observations to make. Firstly, the opportunity to use AI to enhance the car buying experience and the tools we provide retailers on Auto Trader is clear and something that we have been doing for a long time now. The recent developments in AI technology, particularly LLMs, provides even greater runway for this across our advertising, data, digital retailing and Co-Driver product streams as well as our consumer experience. Secondly, brands really matter. Car buying is an incredibly complex, high-value purchase. It is almost never online only, typically involves multiple transactions, is regulated and usually takes place over 3 months, during which the selection of vehicles changes constantly. To navigate this, people use Auto Trader. Over 75% of marketplace activity happens on our site and most people come directly to us. 49% from apps, 29% from our URL or searches for Auto Trader, 18% from organic search with only 4% being paid for web traffic. This brand position doesn't just come from a trademark, it comes from the deep and rich experience we provide car buyers. It's not just about a wide selection of vehicles, it's about making sure that selection is real, available, described to a high quality, easy to navigate, comparable and not fraudulent. But this is just the listings. People need a lot more than just listings. They need a lot of high-quality real images, comprehensive and accurate descriptions, price flags, dealer ratings, valuations, checks on the vehicle, part exchange quotes, finance and so on. This is why people seek out Auto Trader, and we believe these tools will continue to be important to a car buying transaction moving forward. Thirdly, as these platforms grow, we will ensure new and existing users of Auto Trader can reach us there. We've taken this high-level approach in similar situations in the past, and it has served us well, whether it was the rise of Google when fears of disintermediation were raised, iOS or Android. In all these cases, our market position strengthened and our audience grew. This is because these platforms grow by providing the best experience to their users. For the reasons mentioned earlier, when it comes to cars in the U.K., that is what we do. There will be a myriad of technical, commercial and strategic decisions along the way, including the depth of experience and protection of our data, but these are not new decisions to us. Finally, we are confident that our deep real-time vehicle data and rich tools for car buyers and retailers will remain essential to what is a large and complex transaction. The vast majority of that data is not available on the public Internet. Agents may, over time, provide users with automated or semi-automated assistance for carrying out varying tasks on the Internet, but they too will require sources of high-quality real-time data, where they'll face similar constraints to search engines. In fact, most of these interfaces for that sort of data use the search engines we know today. For that reason, we expect that AI agents, like other client technologies, will either remain top of funnel and generalized or they'll look to provide direct integrations using standard web technologies customized for their environments. Interestingly, this is exactly what ChatGPT recently announced with their Apps SDK, and we expect others will be soon to follow. These integrations allow greater control over the experience and data that we provide such that it can bring the best of what LLMs do together with what we do best, providing another way for users to find and engage with Auto Trader. Again, there will be many decisions to make along the way, but we feel very well placed to make those. Finally, we know the landscape will evolve, and you can have confidence that we will stay abreast of these changes. We'll continue to be fully engaged in the technology and we'll maintain the ability to move both strategically and quickly when required. Now on to the outlook or not. Right, on the outlook, there is actually not a great deal to say as those of you who have read the announcement are aware, other than that the first half has pretty much played out as we expected. So our outlook for the remainder of the financial year 2026 remains the same as it was at our full year results. All that for that short sentence. Right. We'll now move to the Q&A, which Jamie will manage, and we'll take questions from analysts in the room.
Jamie Warner: Yes. So we'll wait the mic and start down the front and then work our way back as usual.
William Packer: It's Will Packer from BNP Paribas. Three questions, please. Firstly, thank you for the very useful comments on AI and how you're positioning yourselves. Could you help us think through investment requirements in the next 12 to 24 months. Should we interpret your comments as you're well invested and you -- the kind of formula we've seen in recent times of flattish margins or slight expansion depending on the top line is the right formula? That's question one. Secondly, could you help us think through the dynamics around the integration risks and opportunities with ChatGPT? Am I right in thinking that you have a choice in that you do have a significant inventory lead versus your nearest competitor. Some of the classifieds don't, so you'd think the hand is more forced, you can choose. And in the event that you do decide to integrate, how should we think about the split of economics versus the current status quo? My take would be you're not paying very much to Google compared to some other segments. So is there a risk that the economics deteriorate in that environment? And then finally, you've got a prominence offer. That's something which is -- we haven't heard too much about in the past. Could you think us through -- could you help us think through what that means for the upside on prominence and how that will flow through in due course?
Jamie Warner: I can take the first one. So as both Nathan and Catherine mentioned, we've been investing in much of this technology for a long period of time, previous product iterations and most recently, Co-Driver. So I think there's still much work that we can do from both retailer products, consumer experiences, tools internally to help us find greater levels of efficiency and productivity. But you're absolutely right, I think we feel like because these investments have been happening for a long period of time, there's no -- certainly in that 18- to 24-month window you mentioned, no change from a guidance on margin perspective, consistent margins in the Auto Trader segment. I still think we believe at a group level with Autorama, profitability or losses improving and hopefully into profitability, the group margins can actually continue to expand.
Nathan Coe: And on the second question around the integration risks and opportunities, I think that there's probably a few things that I'd say. As I said, we think that they'll go for reasonably structured integrations. The idea we've heard and seen some notes about talk of them scraping the Internet to get real-time data. We just don't think that's going to happen. I mean that technology is very, very old and nonperforming. And indeed, ChatGPT's SDK suggests that they're going to go for something more structured. What comes with that structure is a pretty great deal of control and transparency about how your data is used, what depth of experience that you provide. So you're able to manage the risks and opportunities as it turned out when we've been with Google, we've made decisions to open up our site to a certain level, but not necessarily fully. There will be those sorts of decisions. When it comes to iOS, we open up everything, but it is within a native app. So when I talked about the strategic commercial tactical decisions, they tend to sound very, very technical, but they are quite important. The SDK has not launched in Europe yet. So we haven't had a detailed look at exactly what that looks like, but we would go for something more structured, and we suspect they would as well because those platforms, and I think this is where the opportunity is, and it relates to your economics point is Google only became really, really successful because it provided and prioritized the most relevant results for users. That's going to be the true for any interface. So we think we can do that for car buying. And we think for that reason, they'll want to work with us. If they were to compromise something like that for the sake of some form of rent that they collect, that would seem to be a bit inconsistent with the pattern that has played out with these platforms. But does that mean around an app that we do, there might not be -- might be paid positions or there will clearly need to be some economics. Yes, we would expect that to be the case. But again, that is no different to Google. And by and large, most people come directly to Auto Trader. I think that is also the point that we're not getting much of our traffic at all about what, 18% plus 4% paid. So around 20% of our traffic is coming through those more generalized search engines. Most people wanting to buy a car kind of know where they need to do that. And I suspect that will still be true in the future. What we hope though is as more and more users start to use these interfaces, actually the use case for Auto Trader can appeal to people that perhaps might not have otherwise found us, that might have found the search by make and model a little bit intimidating and ChatGPT and those other kind of tools can hand off into a structured search like us, which feels like an opportunity that we don't necessarily have today. Of course, we can do it on our own site, but that is only for people that are coming to Auto Trader.
Catherine Faiers: Dominance and offer. So I think we talked at the full year results about how we were doing a lot of work and imagining that in the next year or so, we would look to evolve the packaged staircase. Again, typically, we've done that every 3 to 4 years. And we're coming to a time again where we think that is the right thing to do. So you're right, we are in market with a bigger and more attractive prominence offer than we would typically have run in the past. It's had good uptake from retailers. And over the coming months, we'll be in the process of converting those retailers through to fully paid. One of the reasons for making the offer a bit bigger and more attractive is really to learn and to test the value response uplift that we're seeing and the different levels of retailer adoption, all with the view that it will inform the structure and the makeup of the packages that we look to try and then roll retailers into at some point during next financial year.
Gareth Davies: Gareth Davies from Deutsche Numis. Two from me. The first with a couple of parts on Deal Builder. 2,000 onboards since, I think Catherine emphasized, June. But just kind of understanding how that's built up, should we assume it was kind of pretty straight line through that period? Or were there any sort of stumbling blocks initially that you've got through? And has that ramped into August, September? And then I think you said 25% increase in adverts in October. I mean, can we be as simple as thinking that means we're up to 5,000 by the end of October? Or is that being too simplistic? And how are you feeling sort of overall in terms of getting everyone you need on Deal Builder by the sort of March, April time line you need? So that's question one. And then the second one, you confirmed guidance for the year just in terms of the minutia. Can you talk a little bit on stock and a little bit on dealer forecourts because I think stock feels that it's sort of stubbornly at 28, 29 days. How are you feeling on that at the moment? And then dealer forecourts feels like it's running a bit stronger than I certainly expected.
Catherine Faiers: Yes, sure. So on Deal Builder, we have been talking on webinars and in the trade press about being around 6,000 retailers now and about 160,000 or so live adverts. So those numbers are -- they're out there. You talked about whether the growth has been linear or not, I think we've talked before about looking, particularly for the independent retailers that work through our portal system, we've been onboarding them in waves. So it's definitely not been a linear line from June through to October. There's been waves of retailers. We've defined cohort segments that have similar attributes or similar ways of working with us and then have been onboarding them in a more scaled way than we were able to do prior to June. We're getting to the point where we are a good way through all of the independent retailers that work through our portal system. And so growth from this point onwards will be more influenced by the technology API integrations that we're putting in place with the tech partners out there in the automotive industry. So we'll continue to see, I think, a slightly inconsistent patterns of waves when we complete a tech integration with a dealer management system partner, suddenly a new cohort of retailers will become addressable, and we'll look to get those onboarded pretty quickly. So I imagine it will continue to be quite lumpy between now and March. We're hopeful that we will have made really good progress by March. I imagine, as is typically the case with the integration work that we do, I imagine we will have a tail of retailers that will need to work to get over the line beyond March, driven principally by that tech integration work, not work on our side, but work for the third parties integrating with the API that they will need to do.
Jamie Warner: And on the more detailed kind of guidance for stock and forecourts, I mean I think we've been pleased the stock has improved through the half. I think at full year results, we gave the April number for the stock lever, which is sort of materially down and then obviously only marginally down for the first half. We haven't quite got into positive territory. So September was still marginally negative. And I think we are -- don't -- are probably a little bit cautious on just what the outlook looks like for these remaining 5 months or so. The fourth quarter, the first quarter of the calendar year is always slightly volatile. January is generally a very strong sales month, and it's not always easy to source stock. So I think that's why we're sort of holding that guidance at marginally down for the year. Similarly, forecourts almost sort of shown an opposite trend where obviously, the stocks got better. And if you look at the growth rates on forecourts, it is -- I think we're pleased that it was as positive as it was in the first half, but the growth rates are trending down. So we've exited the half slightly lower than the 1% growth we delivered in the first half. And again, I think in the round, holding that guidance of flat forecourts seems reasonable.
Joseph Barnet-Lamb: It's Jo Barnet-Lamb from UBS. Firstly, a couple on sort of product-driven ARPR into next year. So firstly, on Deal Builder, you've obviously giving it away for free at the moment. I think you'd articulated previously, you're then going to sort of do an upsell sort of thing through next year, and that sort of, therefore, becomes a tailwind for product. So could you talk a little bit about Deal Builder into '27? You've probably got a more formulated views as to how you're going to do that. So any more color you can give us there would be great. Then secondly, on Buying Signals, which you're sort of -- is sort of being rolled out at the moment. And I think you said you're going to start commercializing that in H2. Any more color you can give us on sort of the scale of tailwind that, that's going to give product in H2 would be great? And then a final one. There's something in the release relating to a property -- Autorama property sale. Is that right? Can you give us some color on what that's about? I presume it's just getting rid of an old Autorama building, but any color you can give us there would be great.
Catherine Faiers: So Deal Builder and Buying Signals and how and when we'll look to monetize both of them. You will have seen how we've positioned and talked about the product is that the 2 very much come hand in hand. So as part of Deal Builder, we are evolving, I guess, the value currency that we use to talk to retailers and evolving that to very much be anchored around the deal. And the positioning for Buying Signals is that you get all of this insight, rich insight about the buyer, their intent to purchase that vehicle, their preferences that they've been looking at and engaging with on our platform. You get all of that rich data as part of the deal. So they have become really how -- the combination of the 2 products has become how Auto Trader works for retailers. We're looking to monetize certainly the first wave of both of them because I think they're both products that have multiple iterations and life cycles for the business as part of the rate event next year. And we have -- we've been pretty open when asked by retailers in forums and webinars and have been talking about that being the case. So first wave of monetization likely to be from April next year for both combined as a package for retailers.
Joseph Barnet-Lamb: And that will be as part of the pricing, but it won't be tiered. It will be a sort of bundled.
Catherine Faiers: Yes, very likely to be part of the overall rate event for all with no tiering.
Jamie Warner: Yes. And just to add to that, because you're asking about the second half, whether there's any second half product. The second half product I think where consensus is slightly higher is really all coming from prominence and that conversion of the offer is where that kind of product lever growth comes from. So just on the building in Hemel Hempstead, I'm delighted someone's made it to the notes in the back of the account, which might be your first questions for me. So when we acquired Autorama, they owned the building in Hemel Hempstead. You will have noticed from the accounts and the FTEs that we report that as we've kind of integrated into the main Auto Trader business and platform, the FTE numbers come down. We weren't actually -- weren't actively looking to market the building at the time. Opportunistically, someone came and said through an agent that they were looking for property space and just made sense because the building is probably bigger than we require. So we've taken a space almost next door that's smaller and fits better for us. It's just on a lease basis, and we're obviously then disposing of that asset, which I think is likely to go through in the next couple of weeks.
Unknown Analyst: It's [ Kieran Darling ] from Citi. Firstly, maybe just on -- could you give us your thoughts on kind of the pros and cons of the stock-based offering you guys have at the moment? Has there been any internal debate around rather moving to an all-you-can-eat model makes a lot of sense, particularly in the context of, I guess, underlying retailers are becoming more technologically efficient and innovative and therefore, maybe that's a headwind permanently? And two, I guess, just in terms of OpenAI and a potential launch of a competitive app or I mean, could you just break down in terms of your visits, how much comes through the app versus desktop and just how much of a moat that is for you guys? And then thirdly, I guess, just in terms of speed of sale, how should we think about it going into next year in terms of comps as it gets easier, how much of a potential tailwind could that be for you guys?
Jamie Warner: Yes. I'll take the first one, and Nathan can manage the second one. So I mean I think we said this at the last set of results. Obviously, the slot-based model where speed of sales has been running quicker has generated this small sort of headwind. And I think we have been doing an exercise and looking at other charging models. And obviously, we're fortunate enough to have a number of peers and everyone seems to have slightly different variations and nuances. All you can eat is always a slightly more challenging one because the nature of retailer customers is you have some customers with 4 to 5 cars and up to the biggest customer on an individual site will have 4,000. So that -- not completely insurmountable, but that makes it a little bit more complex just to run pure all you can eat. But I think we have been doing an exercise of looking at unique listings and there are many different kind of variants that you can do. And so we have been doing that work. I think at the moment, especially as the kind of speed of sale and market headwinds are not as prominent right now as they were this time last year, we still think that if you get supply easing up a little bit or speed of sale staying flat year-on-year or slightly decelerating, that should be positive with the charging model that we've got. But it's not lost on us that, you don't just want to sit there and say, well, everything will be fine, it will come back. So we are doing the piece of work. And I think it's not something that we would never consider. But I think at this point in time, especially where we are in the sort of cycle, we're reasonably comfortable with the model that we've got.
Nathan Coe: Kieran, I got the second bit of your question. The first bit around OpenAI and competitors, can you just, sorry, go through that one again.
Unknown Analyst: I think it's a more general point around potential competitors coming in terms of utilizing OpenAI technology.
Nathan Coe: Yes. Right. No problems at all. So if I take your first question, I think OpenAI is another window to the Internet that uses kind of a highly efficient text prediction to kind of summarize answers and give people the next step that they might want to go to. And when it was Google, it's all around a page rank algorithm. What we found with Google is that their desire is to provide high conversion rates to their users to satisfy them to give them relevant. So Auto Trader tends and over time as SEO and those new releases have gone in, Auto Trader has tended to just do better and better and better. And that's not really down to our own SEO activities, although that's clearly part of it. It's because they want to get around people being able to gain those systems to just give users what's the best answer for the task. So our biggest protection, I think, is the fact that with that depth of data, our brand, people look for us, but it's not -- it isn't about the trademark, it's actually around what people know that they can get there, and it's all founded on data. So I'd say that's probably our biggest defense is we don't see a world where we really feel like we'd be threatened in terms of providing the very best car buying experience. You've got to believe that people will be willing for some degradation to never ever come to Auto Trader. I think apps have always been a really big strength to us. And I think we've always said that most of our traffic, as I laid out, about 80% of it is coming direct to us. The difference between traffic coming direct to our URL and apps is it cannot be intercepted. It is literally a direct connection. So it is about half of our visits, probably an even bigger percentage of the activity that you see when you go a bit deeper into the funnel looking at vehicles. And yes, I mean, it's an area we're always going to invest in. Some people might say we always talked about 10% of marketing being -- 10% of our audience coming from marketing. And I mentioned before, the difference is actually marketing with apps. So we do that very actively because it's a different sort of marketing. So yes, we think it is a big strength. But at the end of the day, we've just got to be the best place to buy a car, and that's hard to do in the U.K. because it requires loads and loads of data, and we've got a lot of that and other people don't.
Jamie Warner: We have a question down here, Giles.
Giles Thorne: It's Giles Thorne from Jefferies. First question, I guess, for Catherine, Buying Signals, was that always part of the product road map for Deal Builder? Or is it something that was introduced or accelerated when you changed your commercial approach? Secondly, coming back to this idea of the April 2026 pricing event, how transformational would you describe Deal Builder and Buying Signals is for your customers, for retailers? And thirdly, maybe back to Nathan and perhaps you're going to reference again some of your prepared materials. But as you've seen this agentic AI debate suddenly materialize in a very quick and aggressive fashion, which elements of it do you think are most misrepresented, misunderstood? I don't know, you tell me.
Catherine Faiers: I take the first one. So on Deal Builder and Buying Signals, Buying Signals is built, the product was enabled because we've, for many years, been investing in building a buyer propensity model, which takes all of the sales observations data that we get from retailers, takes all of the consumer interactions and observations that we see on Auto Trader and then looks at how you connect those 2 sets of observations to know what types of behaviors or patterns do you need to see from a consumer to mean that they're very likely to convert to a sale on a retailer's forecourt. So that model and that logic has been years in the building and creating. So I think definitely Buying Signals was always a product that we had in mind that we were planning to build and launch. The timing of us testing, piloting, really, really robustly testing that model, the connection with deals anyone that submitted a deal, any buyer is clearly very likely to be pretty high intent when we talk about levels of intent. So you've immediately got a very identifiable cohort of consumers that you know are going to be very high intent. What Buying Signals does is then for consumers that might just have submitted an e-mail lead or in time buyers that we might just have seen interacting on our platform, but that haven't left any digital footprint with a retailer, we're able to predict for retailers which of their stock units are more or less likely to sell and how fast they're likely to sell. So step one is the connection to Deal Builder and delivering up, serving up a level of intent and a greater level of understanding, which we're already seeing from retailers will change like the next best action they then take with that buyer. But in the future, the evolution of this product should be to enable retailers much more actively to manage their forecourt based on all of the observed leads and deals that they would have been getting in the old world, but also every interaction that's happening on our marketplace and giving them some sense of what that really means for their forecourt. So it makes sense, I think, and the timing is right to bring it together as part of Deal Builder and to make it part of that proposition for launch. But in the future, there's lots more we can do with the buyer propensity model and that buyer signal thinking and logic to deliver more value to retailers.
Nathan Coe: On the AI, I mean, we do use the technology quite a bit, but I'm going to pretend that we're right at the center of OpenAI. We do work very closely with Google and Gemini. I think as it relates to -- the first thing I would say is that when you speak to -- listen to the people that are building this technology, you tend to get quite a balanced view. I personally think and whether it's the founder of OpenAI or one of the founders of OpenAI, they do tend to give a pretty balanced view about, this is about token prediction and text prediction. There's not really a semantic understanding of the content that the models are doing, but they work very effectively because they basically say, we don't really care how you get to it. But if you can predict an output very accurately, then that's a good thing. It doesn't matter so much how you get to it. I think like 2 observations of things that I think have been a bit oversimplified is, the first I would say in relation to agentic is that there is quite a big difference between general models and what general models can do and what agents might be able to do. And those agents need to be quite specialized in order to do jobs and someone needs to do the specialization. I'll give you a really simple example. We could not use an open model to do something as simple as categorize images and write descriptions on Auto Trader. We had to augment the model, train it ourselves. And that's not even really particularly agentic. That is still a generalized model. But even that task itself, using a general model wouldn't work for it. Now do we think agents can do lots of stuff for users over time? Yes, absolutely, but they'll need to be more and more specialized. And the idea of you just being -- these general models are going to solve the whole world's problem. I don't think anyone really believes that's possible. And agentic AI itself technically is still a bit of a way to go before you see that playing out, although in some fields, it is. The second thing I would say is actually all around the real-time aspect of things. The models are trained every 6 to 9 months. Maybe that increases and they do kind of hoover up the Internet, all the information it can get to on the Internet and use that to create better and better predictions. That is very compute heavy as we can see and NVIDIA's share price suggests is true. What they don't do and don't necessarily need to solve is accessing real-time information because in order to do that, well, what they do there is they partner with search engines, ChatGPT, with Bing, Google and Claude, with -- sorry, Gemini and Claude with Google. And that's because that's a job that has been done well and replicating that, you'll run into exactly the same issues there. So for real-time data, what they do is they use their big model that's very, very intelligent to make better queries of a search engine and then bring it back and summarize it. When you come to really granular data like even listings and the data that's on Auto Trader, you probably need a level deeper than that because you can't get that through a traditional search engine. So that is why we think ending up working with one of those platforms and allowing people to access Auto Trader there is probably the way that it will go. But we can't offer any guarantees around these things. But I think it's very easy to see it as a big blob and extrapolate out. But technically, a lot of the engineers will say, well, no, that scenario is just not going to play out. And there are a few examples of it.
Giles Thorne: I want to get the transformation...
Catherine Faiers: Transformation, do you want to take that, Deal Builder and Buying Signals.
Giles Thorne: Are you going to do bigger than normal?
Nathan Coe: So it is in relation to the event. Yes, something like that. I mean, I think 1st of April pricing event, it's obviously a very live conversation internally. As Catherine explained, I think we feel like the product set of Deal Builder in itself and buying signals should particularly over a longer period of time, generate a lot of value for customers. But we still haven't quite landed at what the -- what percentage we're not going to communicate to customers until January. I mean, historically or certainly in the last 3 or 4 years, we've done 3% to 4% on price, 2% to 3% contribution to the product lever. There's nothing here that suggests would be outside of those ranges. And generally, if you say the last 3 or 4 events that we've done have been -- I think we feel like they've been good ones, then hopefully, this is another good one.
Lara Simpson: It's Lara Simpson from JPMorgan. Sorry, I just wanted to come back to stock. I know it's been a big talking point. Firstly, I suppose, on the speed of sale, you said it was still 1 day faster in October. Were you surprised by that acceleration? Because it feels like a lot of the forward indicators, it should start to stabilize because we're talking about slower demand, supply coming back, but then the speed of sale keeps disappointing. So were you surprised? And then you've obviously reiterated the guidance. Interested on the stock lever guidance. What are your assumptions of speed of sale? Because I feel like in October, we should be getting to easier comps. Are you assuming that speed of sale stabilizes or slows or the status quo maintains? And then just a quick question on Autorama actually. A bit of the top line beat was actually from the vehicle and accessory sales, up 20%, I think it was. Has there been any positive surprise there? Because I thought longer term, we should be scaling down that line from a P&L perspective. So just interested on that. And if what you've seen in H1 has changed any of your strategy for Autorama, particularly in terms of the top line moving parts and then the profitability of that business?
Jamie Warner: Yes. I mean I can take all of them. So look, I think stock -- I mean, if you think about the stock lever specifically. So we've guided it to be marginally down for the full year and it really is marginally down in the first half, that's implying similar in the second half. I think generally, the assumption around speed of sale is certainly what was set out at the full year is that when you hit this point, it gets to be more consistent, and a day quicker. I think in the round, it does feel more stable generally. So I think we're not expecting speed of sale to accelerate in the second half. That would probably be contrary or a downside to that guidance, yes. And I think there still is slightly -- if you look more medium term or into next year, a hope and belief that supply does start to improve as you get better flow of vehicles, better registrations coming out the back of the pandemic. I think we're just being a little bit cautious on whether we're going to see that in the second half or not. And as I mentioned, that fourth quarter is always a slightly unpredictable one. From an Autorama perspective, I think you're absolutely right that the vehicle and accessory sales is not part of the long-term strategy, and we still have a belief that over time, that will reduce or disappear. It was really a tactical decision that there were -- like I said, we took extra 300 vans that passed through the balance sheet. They didn't sit there for very long. And just because the van volumes have been slightly lower, we felt that, that was a sensible thing to do. The long-term strategy is still 100% seeing more volume delivered from the Auto Trader platform for users that are already there. And we're seeing some positive signs of that, albeit off a low base, but the Auto Trader volumes are growing or have grown pretty strongly in this first half. It is, as you'd imagine, heavily skewed towards cars over vans. And so this is -- some of what you're seeing in the first half is -- we're wearing a bit of a yield hit from that changing mix, which I think will probably play out a little bit in the second half. But if we continue to grow those volumes, we're still very optimistic in terms of hitting profitability and then hopefully seeing good growth and getting to the 20% to 30% margins that we set out when we acquired the business. It's very much part of -- there are a number of products that fit into the new car suite. It's very much part of that. Thanks, everyone, for joining us.